Operator: Ladies and gentlemen, thank you for standing by and welcome to the First Quarter 2020 Blucora Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Bill Michalek, Vice President of Investor Relations. Please go ahead.
Bill Michalek: Thank you and welcome everyone to Blucora’s first quarter 2020 earnings conference call. By now, you should have had the opportunity to review a copy of our earnings release and supplemental information. If you have not yet reviewed these documents, they are available on the Investor Relations section of our website at blucora.com. I am joined today by Chris Walters, Chief Executive Officer; Marc Mehlman, Chief Financial Officer; and Todd Mackay, President of Wealth Management.Before we begin, let me remind everyone that today’s discussion contains forward-looking statements based on the environment as we currently see it and speak only as of the current date. As such, they include risks and uncertainties, and actual results and events could differ materially from our current expectations. Please refer to our press release and other SEC filings, including our Forms 10-K and 10-Q and other reports for more information on the specific risk factors. We assume no obligation to update our forward-looking statements, except required by law. We will discuss both GAAP and non-GAAP financial measures today and the earnings release available on blucora.com includes full reconciliations of each non-GAAP financial measure discussed the nearest applicable GAAP measure.With that, let me hand it over to Chris.
Chris Walters: Thanks, Bill and good morning everyone. We hope that you and your families are safe and healthy during these unprecedented times. I would like to start today with an update on how we are positioned in light of COVID-19. First, we took early action for the safety of our employees and to ensure the effective operation of our business. For the past 8 weeks, we have had almost the entirety of our workforce working from home, with the tools they need to be effective in supporting our customers and advisors across our businesses. For the 10 or so employees who are still visiting an office location on a daily basis, we are taking extra precautions and being incredibly mindful of their safety in addition to providing extra pay. I am very pleased that our employees are safe and we have been able to continue to serve our clients effectively with our team working from home. I’m also pleased that we have been able to give back to the community through our partnership with feeding America and a donation equivalent to 5 million meals.Overall, through the situation, our productivity and service metrics have remained virtually unchanged and that is a testament to our dedicated employees. We are fortunate to have two strong businesses with ongoing demand through this type of an environment. People still need to file their taxes. And more than ever, people will need to plan for their financial needs, including their retirement. In tax preparation, this environment is likely to enhance the shift toward online filing. In wealth management, our advisors enjoy trusted relationships with our customers by providing both tax services, as well as, wealth management. Our advisors are largely focused on the long-term value creation they achieve for their customers based on unique financial needs of each client. Further, as an overall business, we have positive cash flow and ample liquidity to cover our current operational needs. Marc will touch more on this in a few moments.While we are fortunate in many ways, we have certainly seen significant business impacts as a result of COVID-19 outbreak. The primary impact in tax prep is due to the extension of the tax season to July 15, pushing the deadline for potential customers to file their returns into the third quarter. We, therefore, are required to continue our marketing efforts over an extended period of time and to maintain our customer support levels to ensure a good customer experience, increasing our cost, while the number of filers remains the same.In wealth management, the primary impact stems from the decline in interest rates impacting our cash sweep income. As rates are now zero, we see no further downside on this front. Additionally, the decline in the market has an impact to advisory fees and trails. That will become more apparent in the second quarter, albeit muted by the mix of equity versus fixed income, as well as, the payout rate for our independent business model. Taking step back, as I have now crossed the three-month mark in my tenure as CEO, I would like to share a few additional thoughts on how we are positioned on the road ahead.Last quarter, I highlighted our 2019 performance and how we advance the ball in terms of positioning for future growth. We generated solid results across a number of categories, made strategic acquisition, organized into a more streamlined business, hired exceptional people across all levels of the business, and invested in the business to drive returns. Since the February call, we have acted quickly to ensure that we have a full leadership team in place and the right operational structure to support and accelerate the execution of our priorities.At a high level, we consolidated operations within the business units, combined our software efforts under one leader, Curtis Campbell and wealth management efforts under Todd Mackay. We supplemented our business with strong new leaders, including Head of Growth and Marketing, Raj Doshi; our new CFO, Marc Mehlman; new Head of HR, Jody Diaz and two very talented technology leaders in Paul Lehman and our new CIO, Dilip Nagaraja. We also recently had the opportunity to conduct a deeper dive into the business. There are a few key challenges and opportunities in each division that the management team is focused on and I will walk you through those before we get into the Q1 results. For TaxAct, the offering has undergone a significant product upgrade and we’ve right-sized pricing to offer a smaller discount to the competition, but it is coming at the expense of a loss in the number of e-filers. This was expected. And with much of it behind us, the company needs to shift to growth. To do so requires data-driven marketing approach, utilizing new and cost effective strategies to drive customer acquisition.Over the past few months, we have done a lot of testing with many new partners, as well as, added some additional tools. We have been improving our team and structure and we have learned a great deal, which will help us in the future. The early results were extremely promising, though our efforts were hampered by the government’s decision to delay tax filings. The most impactful work will be over the next seven months as we finish out the tax season and prepare for next. Our goal is to come into next tax season with product and marketing, both optimized and working in concert. This is a big undertaking, which I believe will be a powerful combination.As we attract new customers and delight them with our improved product experience, which is saving them money and identifying ways to improve their financial situation. We also have an opportunity to drive customer engagement beyond tax season to improve retention. We have made a giant leap in our product quality and we will continue to push it further, setting the stage for the significant improvements we witnessed in customer enjoyment year over year to continue. We plan to continue to make improvements in the experience, including differentiated features to drive further gains in customer conversion. I see a great deal of opportunity for the business over the medium and long-term. And that’s perhaps one of the things that have been most exciting to me in terms of my initial observations.We anticipate that the product improvements will drive higher retention rates going forward. New initiatives, such as assisted tax preparation, can drive higher unit economics when combined with improved marketing efforts and additional engagement on the off season. These improvements mean we will be in a stronger position to grow units and revenue in coming years. In wealth management, over the past 2 years, we have converted to a new clearing platform, rolled out a new technology stack for advisors, and acquired and integrated 1st Global, a large tax focused broker-dealer. This business looks very different than it did a few years ago and is uniquely well-positioned going forward to address a very large opportunity. You have heard us say in previous earnings calls that we could potentially grow 7x to 8x our current size without our advisors having to introduce themselves to a single person they don’t already do business with and without us having to bring in a single new advisor. We continue to believe this to be true and will be part of our organic growth efforts, which we plan to make our top priority moving forward. We are actively engaged to improve our service and operational performance to delight our advisors.Aligned systems, process, and technology to improve efficiency and scalability and maximize the advisor performance by providing tools, including supporting efficient prospecting to increase client penetration and wallet share. It is also clear that one area we needed to address was providing an option to CPAs who want to add wealth management as a service offering to their clients, but who don’t want to become a full-time advisor. To accomplish this, we announced the acquisition of HKFS. We anticipate that adding HKFS to our platform will significantly enhance our go-to-market strategy, accelerating organic growth through cross-sell opportunities and new incremental revenue streams. HKFS has successfully worked with CPA firms on a partnership basis. With this acquisition, CPAs can essentially outsource the wealth management work to a firm they trust while ensuring close coordination. We no longer have to walk away from this opportunity because we have another turnkey option to allow them to monetize and serve their client base. This grows their business and ours.You may have seen we recently entered into an amended acquisition agreement, which among other things, lowered the purchase price and extended the closing window. The rationale for this transaction remains strong, if not even enhanced in this environment. HKFS brings a clear strategic advantage to us and the business has been growing at double-digit asset growth rates with adjusted EBITDA margins of about 30%. It gives us a new way to monetize the 700 retirement plans our advisors start each year for their clients and this represents an incremental revenue stream for advisors. It gives us a new way to retain assets, providing an off ramp opportunity for retiring or plateaued advisors. This not only drives asset retention but also improved margin transitioning from affiliate model to a captive RAA. And in this type of environment, more people generally look to advisory. Further in this environment, advisors may choose to exit the business.Having HKFS will give us the increased ability to capitalize on both of those trends. In short, we believe it will help drive significant and profitable growth over time. This business has never had more potential and the stage is now set to turn our attention to organic growth. We have a great deal of opportunity to accelerate growth and have an execution focused team in place to begin to capture it.In addition to the opportunities within each business, we plan to also explore a few opportunities across our businesses that haven’t really been thoroughly tested to date. One example I’d like to highlight is prospecting within our Tax Pro user base to convert to Avantax advisors. We currently have approximately 20,000 Tax Pro users and about 4,000 of Avantax advisors. Even if only 5% converted, it would represent a 25% increase in our advisor base.Another example is in applying TaxAct marketing resources to help our Avantax advisors grow their businesses. Most advisor practices have limited marketing scale and resources. So, if we can leverage the significant marketing capabilities within our organization to help them drive new customer acquisition, it could make a material impact. Finally, before we discuss Q1 results, I want to note that since joining as CEO, I and the rest of the team have been conducting exhaustive reviews of the businesses. It came to our attention that the flows data that we noted last quarter for Q4 contained a misclassification between line items that roll up to the ending balance.Specifically, certain client reinvestment amounts included in the net flows line should have been categorized as market impact and other in order to be consistent with past practices. This resulted in the company mentioning on last quarter’s call that fourth quarter net inflows into advisory assets were approximately $200 million and net inflows into total client assets were approximately $180 million. The figures for the fourth quarter should have been net outflows of approximately $90 million for advisory assets and net outflows of $834 million for total client assets. This also resulted in us calling out record advisory flows of approximately $1 billion for full year when the actual number was approximately $712 million, which, while strong, was not a record.Again, these items relate to the classification of flows relative to our past practice but do not impact the total reported advisory assets or total client asset amounts reported. We apologize for this administrative error and have included a summary of this change in our 10-Q. We have also taken corrective measures to ensure that something like this does not happen again. Outflows in Q4 were due to multiple factors, including normal attrition, asset reallocation, as well as, anticipated outflows related to the acquisition of 1st Global. We are still tracking below our anticipated and modeled attrition, but did experience some of this in Q4 and we could see more over the next few quarters. We have initiatives under way to keep the outflows below anticipated levels.Now for a review of Q1 results, starting first with wealth management. First quarter wealth management revenue was $145 million at the top of our guidance range and segment income was $22.6 million, above the high end of our target range. These results reflect healthy revenue performance, combined with expense control measures that were implemented in light of recent events. In wealth management, the decline in market did not impact our advisory fees in Q1 as they are billed in advance for each quarter based on the prior quarter’s ending balances. The change in interest rates, which happened in the last month of the quarter, also did not show up in Q1 results. As a result, in the first quarter, the business performed well despite the COVID-19 outbreak. On a consolidated basis, net flows into total client assets were about $125 million and we ended the quarter with $61 billion in total client assets. Net inflows into advisory assets in the first quarter were a very healthy $390 million, and we ended up the quarter with $23.6 billion in advisory assets.Advisory assets as a proportion of total client assets ended the quarter at 38.7%. A few additional updates I’ll call out here for wealth management. First, I’m incredibly proud of the team and their ability to so quickly shift to remote working environment. Not only did they transition almost seamlessly, but our service metrics actually continue to improve materially throughout the quarter. Where there has been an ongoing effort to optimize process exam procedures, including daily KPI tracking, we were pleasantly surprised to see the metrics continue to improve during the transition. Again, great work by the team.Recruiting also continued to be strong with about 55 new advisors joining in Q1, including 42 new Tax Pro advisors, as well as, established advisor transfers. Two of the transferring advisors have assets in the $50 million to $100 million range that we expect to transfer over in the current quarter. We also added 6 new accounting firms in the quarter with approximately $10 million in cumulative accounting revenue, representing an estimated $1 billion prospecting opportunity in total client assets. As it relates to our proprietary tax-smart investing software platform or TSI, we continue to make progress now with about 1,100 advisors on the platform. Advisers using tax loss harvesting tool have placed trades over the past quarter that equates to millions of dollars in potential tax savings for their clients. Overall, good progress in wealth management.So let’s move to tax preparation. Normally on this call, we’re summarizing all of the ins and outs of tax season that would have ended on April 15. As you know, in late March, the IRS announced that the season has now been extended to July 15th. Thus, while the full season summary has been pushed out, let me give you an update on our progress since our last call. In mid-February, we indicated that we had started the season a bit out of position from a marketing perspective, but that our product improvements were really resonated with retention and conversion rates up four and five percentage points, respectively. In the month or so after our call, our product metrics continue to improve. By March 20th, our retention rate was up another point to five points versus the prior year, and the conversion rate was up another two points to seven points up year over year. These are phenomenal improvements in one year.On top of these metrics, our customers’ net promoter scores have been up double digits versus last year, which is another indicator of customer satisfaction, which we anticipate will benefit us in upcoming years. On the marketing side, we tested and implemented some new marketing activities. Since not everyone is familiar with our brand, it can require some time and multiple impressions per customer to be considered. However, as we got to mid-March, we started to see new users coming in. In fact, our new user mix improved over the course of about a week and was coming in at almost double where we would have peaked the prior year. This was all very exciting and gives us confidence that our marketing improvements are working.And on the TaxAct Pro side, we were up year over year through March 20 in gaining market share. The IRS announced the delay on March 21, which first applied to payments and then the filing date. Post these announcements, filing volumes across all methods slowed materially. The DIY segment of the industry, which had been trending up 3.6% year over year prior to the announcement, was down 11.5% as of April 17 and total IRS e-files across all methods was down 18% as of April 17. For the quarter, tax prep revenue came in at $118.3 million, significantly below our prior guidance due to a shift of the volume out of the quarter following the extension of the tax season.Segment income came in at $37.8 million, reflecting the impacts to revenue, as well as, the increased investments, much of which has been around testing new and alternative approaches to acquire customers. Our consumer e-files for the quarter were down slightly or in single digits versus the same period last year with Pro e-files approximately flat. In addition to the positive trends we were seeing prior to the deadline change, I would call out a few other things.As it relates to our expanded test been assisted, we have continued to see good results. We had plenty of demand. And in fact, we expanded our test further than we had initially intended by about 20%. Feedback from customers about the experience has been very positive. As a reminder, our goal this year is to exit the season with significant learnings and to launch a broader assisted tax offering next season should our test improve a viable economic model. And in Pro, similar to last year’s, our market share trends throughout the season so far have continued to show modest gains.As we look out over the next few months, we are in our uncharted territory. This will be the first tax season in the history of our business to span almost seven months. The traditional filing patterns don’t apply this year and may be further impacted by what the virus does from here. We will use the remainder of the season to continue to test and optimize our marketing activity. We will look to not only see how we can impact this season, but also make sure we come into next season in an even better position with both product and marketing optimized from Day 1.With these learnings, an improved product and higher conversion and NPS scores which positively impacts our lifetime value. I am optimistic about our potential for next year. In summary, our business is in a fortunate position of having two strong profitable businesses, each of which has ongoing demand in this environment. We believe we have adequate liquidity, cash flow, and flexibility to sustain us through difficult times. In the long term, as a company, we occupy an amazing position given that we have the opportunity to support millions of Americans each year in the pursuit of their financial goals. We have enormous potential both in and across our businesses. I now have the pleasure of turning the call over to our new CFO, Marc Mehlman for the first time. I couldn’t be more excited to have Marc join us, and I know he will be a great partner and make positive impact on the business. Marc?
Marc Mehlman: Thanks, Chris. I am really excited to be here at Blucora and I look forward to working with all of you as we continue to execute on our priorities and grow the business. I joined Blucora because I’m passionate about our purpose. Having spent the last several years in a tax-focused business, I understand first hand the complexity, but also the opportunity that comes from a changing tax landscape. Having a partner who helps you navigate the scenarios life can throw at you is invaluable. And as Chris mentioned earlier, the services we provide mattered even more now in this time of uncertainty. In my first week, I can already see the passion of our people and the value our tools can bring to our advisors on the wealth management side and the direct users of our TaxAct solution. I am excited to bring discipline and focused investment to those areas of opportunity that allow for everyone to benefit.Lastly, I believe we are fortunate to have analysts that have covered our business or industry for a number of years and through a number of cycles. I look forward to getting to know you and leveraging your insights to ensure we’re providing the right level of context so you can properly measure our business. Now, I’ll just hit on a couple of topics today, and then, open it up to Q&A. Similar to Chris, I’ll also begin with the coronavirus-related item. As you all know, the pandemic has had a significant negative impact on the global economy and caused a substantial disruption to securities markets. These factors negatively impacted key wealth management business drivers, interest rates, and client asset levels to be specific. These macroeconomic factors and the resulting decline in our share price when measured as of March 31, served as a triggering event that resulted in a review of the goodwill of our business units.Based on that review and the implied value as of March 31 relative to our carrying value, we recorded an impairment of goodwill of approximately $271 million relating to our wealth management business. While additional impairment is possible, should economic or business conditions worsen, we believe our impairment test as of 3/31 factored in conservative assumptions for our wealth management business. While a non-cash item, it is nonetheless a large and non-recurring item, I wanted to start there and provide a bit of color.Now to move to the rest of the results for the first quarter, as Chris mentioned wealth management revenue of $145 million was at the top of our guidance range. Excluding the impact of first global, revenue for wealth management increased roughly $13 million year over year. Tax preparation revenue with the extension of the tax season and related volume being pushed into future quarters came in significantly below our prior guidance range of $118.3 million. As a result, consolidated first quarter revenue also came in below our prior guidance range at $263.3 million. The impairment resulted in us reporting a GAAP net income for the quarter, which came in at a negative $315.5 million or negative $6.60 per share.Adjusted EBITDA, which reflects corporate operating expenses coming in a bit better than expected was $53.3 million and non-GAAP net income was $43.6 million or $0.90 per share. In terms of liquidity, the company generated about $39 million of free cash flow in the first quarter, and we also drew down a net $45 million from our revolver to ensure that we had ample reserves in an uncertain market. As a result, we ended the quarter with $168 million in cash and equivalents on our balance sheet. We also recently amended our credit agreement to give us a bit more flexibility going into the balance of the year, enabling more flexibility to invest in new opportunities as we manage altered timing of our expected cash flows. As Chris mentioned, we believe we have more than sufficient liquidity to cover our operational needs, including non-recurring cash obligations in 2020, such as our headquarters move and acquisition and integration costs.To retain ultimate flexibility, we are scenario planning for different environments and looking at when and where we would lower our cost structure to when we would invest to accelerate future growth. From a capital allocation perspective, we will be very prudent. The renegotiated terms for HKFS give us time to continue monitoring credit markets to fund that purchase. The shortlist of where to deploy cash would be to fund HKFS plus organic growth opportunities. We would not expect any share repurchase activity in the near-term. And looking past 2020, we would expect debt pay-down in addition to organic growth opportunities to be the primary focus areas. Finally, in terms of outlook, given the delay in tax season and the uncertainty given the pandemic, we are electing at this time to withdraw our prior tax season guidance and not to provide additional guidance at this time. We believe this to be the prudent approach considering the number of variables currently at play.With that, I will turn it over to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Chris Shutler with William Blair. Your line is now open. Chris Shutler, if your line is on mute, please un-mute your line.
Chris Shutler: Hello. Can you hear me?
Marc Mehlman: We can hear you now.
Chris Shutler: Okay, sorry about that. So first, on the tax business, I just want to make sure that I heard you correctly, Chris, that the consumer e-files were in the first quarter down by a single-digit percentage year-over-year, was that correct?
Chris Walters: That’s correct.
Chris Shutler: And can you put a finer point on that? Is that like upper single digits, mid single-digits, just ballpark, trying to get a sense?
Chris Walters: Sure. The IRS data show that e-files were down 2.6% that was through April 24.
Chris Shutler: I am sorry. So that was a – when you said consumer e-files were down single-digit percentage, were you talking about your own business or are you talking about the IRS?
Chris Walters: So we talked about our own business. We indicated that we were down single-digits as of the end of March.
Chris Shutler: Got it. And you’re just saying that yes, so directionally, you think about where the IRS was at?
Chris Walters: Yes.
Chris Shutler: Okay, got it. And then can you talk about – you mentioned the early results of some of the additional marketing spend have been extremely promising. Maybe just dive into exactly what you were testing, what you’re looking at, what the KPIs are that look really strong, and looking out to both the second quarter and next year. Clearly, you spent a lot more in the quarter. So you would expect units to be better as a result. Do you think that you will be able to dial back the expense quite a bit from where we were at and still get any clear good result?
Chris Walters: Yes. So we were testing a wide variety of methods, right? There are a number of things that we hadn’t been employing that others in our market had been. And so, we test it across and we look at a variety of metrics to gauge success, right? And a number of them, you all look at as well with traffic and starts and completes. And so, we’ll know more as we make it to the end of the season about the full effect.
Chris Shutler: Can you say anything, Chris, about the extra, call it, $25 million or $30 million that it looks like you spent in the first quarter in that business and should we view it as a decent bit of that is just a shift from Q2 into Q1 or hard to say?
Chris Walters: I can’t really say much. We’re not sharing anything more about the details of that. As I said, we spent – tested a wide variety of tactics that we believe would deliver a good return and we’ll know more about the effect of that as the season completes.
Chris Shutler: Okay. And then maybe lastly, just the – it looked like on your website that you kept the messaging around free for really the entire season. Maybe just talk about that decision and what you’re expecting the messaging to be at a high level next season?
Chris Walters: It’s worth noting the distinction between free messaging and free filers. So many filers, when they start the process, they believe they may be free and the reality is they have more complex tax situations. And so, they end up being paid filers as they complete the process. And so, I think just like many others in the category, free will be an important part of messaging going forward.
Chris Shutler: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Will Cuddy with JPMorgan. Your line is now open.
Will Cuddy: Good morning. Thanks for taking our questions. Following up on Chris’ question and just to help us understand the cadence of tax season going forward? It is fair to use the IRS data to understand how your business has been trending in the past several weeks and how we think about the next several months?
Chris Walters: We provided some guidance about us being down single-digits at the end of March and there is also data out there about the IRS. But I think anything more than that is more than we shared so…
Will Cuddy: Okay, sure. Got it. So on the cash sweep revenue, so we didn’t have a full quarter of lower rates in 1Q/2Q we step off in a lower rate. Can you provide some perspective on how much we’re stepping down from the cash look revenue going from 1Q to 2Q?
Chris Walters: Sure. Todd, do you want to comment?
Todd Mackay: Sure. So when you look at the cash sweep that we had and we are fortunate, and obviously, how we contractually have the deal on the cash sweep. We were at about $7.3 million in revenue in Q1. And as we have stated that that’s obviously driven by interest rate environment, on an annualized basis, we are looking at between $2 million and $3 million for the year.
Will Cuddy: So, $2 million to $3 million for the rest of the year?
Todd Mackay: On an annualized basis.
Marc Mehlman: That’s correct. And this is Marc and I can share a bit more context for you, Will, but on an annualized basis going forward, you would expect between $2 million and $3 million. That did not start in the first quarter, as the rates really came down to zero in March and there’s a month delay. So, you can forecast like for the balance of the year based on it being annualized $2 million to $3 million going forward at 0%.
Will Cuddy: Got it. That’s helpful. Thank you. And just on pricing, so, Chris, you mentioned in the prepared remarks that you have continued to close some of the gap. But as we look ahead, how do you think about the pricing dynamics relative to TurboTax and H&R Block in the next couple of years?
Chris Walters: So, we ultimately want to continue to be a value offering relative to TurboTax. And so, we’ll think very carefully and I think we’ve talked about in prior calls, we do pretty extensive price testing that gives us some guidance or informs us on where we ultimately should be, but as you know we are a more value-oriented brand. And so we think it will be important to maintain that position.
Will Cuddy: Got it. Thank you for taking my questions.
Chris Walters: Sure.
Operator: Thank you. Our next question comes from Alex Paris with Barrington Research. Your line is now open.
Alex Paris: Hi, guys. I just have a couple of questions on the wealth management side of the business. I think you mentioned, Chris, in your prepared comments that while there was no significant impact on advisory fees and trails in Q1, there will be in Q2, but that effect would be somewhat muted by the mix between fixed income and equity, question number one and payouts. So, I was wondering if you can give us a little bit more color in terms of your assets under management, the buckets that is in fixed income versus equity and then, what did you mean with regard to debt?
Chris Walters: So, Todd, do you want to take this?
Todd Mackay: Yes, sure. So, good question. When we look at the mix of our equity to fixed income inside both the advisory business as well as the AUA overall, it obviously varies depending upon the advisor and end client. Typically, we have seen that run at 60% to 65% equity to fixed income. So, when you look at the correlation of market increase or decline, you factor that in to the overall mix. And then, the other point you made was around payout and we have seen payouts be relatively flat and that is the split of revenue with our advisors and Blucora. And we have seen that be flat over time, but when you look at the effect the market, those two factors factor into the cash flow coming into the business overall.
Alex Paris: I got it. Okay, thanks. And then just one last one, can you outline the revised terms on the HKFF transaction, I know the price was reduced, the time is extended, but maybe just a little bit more color in specifics there?
Chris Walters: Sure, I can take that. And so, the price was revised down from $160 million to $100 million and we have a lot of flexibility on the timing of the close, so much more extended time line. There is an earn-out and the performance return to the expectations that were in the initial deal. They have an opportunity to get back to the purchase price, as you might imagine, that would require some great, great performance from the business, as well as, like some very favorable market conditions.
Alex Paris: Great. Very helpful. Thank you.
Operator: Thank you. We have no further questions in the queue at this time. I would now like to turn the call back to management for closing remarks.
Chris Walters: Great. Thank you all for joining us today and for your interest in Blucora. I would like to thank all of our employees across the company for their hard work dedication, flexibility, and determination during this period. This year has already brought a number of changes and challenges and you have risen to the challenge on each one. And finally, thank you to our advisors, customers, and clients, who play a major role in our success and we couldn’t be more pleased to be able to play a role in yours.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.